Operator: Welcome to the Verso Paper Corporation third quarter 2011 earnings conference call.  Today’s conference is being recorded.  At this time I would like to turn the conference over to Mr. Robert Mundy, Senior Vice President and Chief Financial Officer.
Robert P. Mundy: Thank you for joining Verso Paper’s third quarter 2011 earnings conference call.  Representing Verso today on this call is President and Chief Executive Officer Mike Jackson and myself Robert Mundy, Senior Vice President and Chief Financial Officer.  Before turning the call over to Mike, I’d like to remind everyone that in the course of this call in order to give you a better understanding of our performance, we will be making certain forward-looking statements. These forward-looking statements are subject to risk and uncertainties. Should one or more of these risks or uncertainties materialize, or should underlying assumptions or estimate prove correct, actual results may vary materially from management’s expectations.  If you would like further information regarding the various risks and uncertainties associated with our business, please refer to our various SEC filings which are posted on our website www.VersoPaper.com under the investor relations tab.
Michael A. Jackson: If you could turn to Slide Three, our adjusted EBITDA for the quarter was $64.2 million which was $18 million above the third quarter of last year and $20 million above the second quarter of 2011.  Operating income increased 136% to $30.6 million from $12.9 in the third quarter of 2010 and from $7 Million in the second quarter this year.  Looking at it in key comparisons, we find that our total volume was up over 15% from Q211 but down slightly, about 2% from last year.  The average selling price for our product line was up 8% and revenue was up 6%.  Prices were up slightly from Q2 of this year.  Gross margins before depreciation rose to 17.8% or a 2.7% increase over the second quarter of 2011. You may remember during our second quarter call that we expected to have a good third quarter relative to operations and in fact, that was the case.  Performance was driven by usage improvements encompassing the components of chemicals, water, pulp and energy which all contributed to the R-GAP category.  All focus areas that we’ve spoken about in the past.  In fact, operations were $10 million better than the second quarter of this year. Bob will get into the details of our input costs but clearly they’ve been a challenge as our year-over-year increase for just the third quarter was $18 million.  Chemicals and wood have been the main drivers with chemicals leading the way.  Though inventory levels decreased 7,000 tons for our coated paper from Q2 2011 levels, we’re watching our coated groundwood inventories closely as we move into the fourth quarter.  As the economy sputtered, it was clear that catalog companies had pruned their mailing spend. Although not mentioned on this page, I did mention safety in our earnings release this morning and felt it important to mention again.  Before the quarter we obtained a total incident rate of 0.8 which is world class performance.  Clearly, there’s a correlation between excellent safety performance and improved operations which we certainly saw this quarter.  With that, I’ll turn it back to Bob for some financial details and then I’ll be back to talk about the outlook and we’ll take questions at the end of the call.
Robert P. Mundy: If you’ll turn to Slide Four, the seasonally stronger third quarter volume was up over 70,000 tons from the second quarter, down slightly from last year’s third quarter.  Although volume was down a bit from last year, revenues were up almost 6% due to six consecutive quarters of increasing coated sales prices.  Operating income was up $18 million versus last year and we had positive adjusted net earnings of about $1 million versus a $19 million lost last year. On Slide Five, you can see that coated volumes were down about 23,000 tons from last year, although, as Mike mentioned, we still were able to pull inventories down in the quarter.  Coated prices are up over $80 a ton versus last year and up slightly versus the second quarter.  Pulp volumes were where we expected them to be, and hardwood prices were down about $25 a ton due to the softening in the pulp markets. On Slide Six, you can see the key changes between our third quarter 2011 adjusted EBITDA of $64 million versus the $46 in the third quarter of 2010.  As I mentioned earlier, overall volume was down slightly while improved pricing contributed $34 million.  Operations were over $3 million better than last year’s third quarter primarily due to usage and energy reductions and input prices continue to be a challenge and were $18 million above last year’s price levels. On Slide Seven, this gives you a few of the adjusted EBITDA changes between the second and third quarters of 2011.  The volume during this seasonally stronger period contributed about $11 million and slightly higher sales prices were worth just over $1 million versus the second quarter.  I mentioned on our last call that our implementation planning for 2011 relative to productivity, direct costs, materials and usage, and indirect cost initiatives ramps up as the year goes on and you should see a clear indication of this during the third quarter which is what happened and what is represented by the $10 million improvement shown in the operations column.  Although input prices were $4 million higher than the previous quarter, hopefully we’ll see some relief when we look at the fourth quarter results next time we talk. If you turn to Slide Eight, you can see that chemicals drove the sequential quarter increase in input prices with wood, energy, and pulp reflecting favorable movements.  We expect to see some stabilization in the pricing of some of our key chemicals which is why I hope to see a more positive trend relative to overall input price movement from the third quarter and into the fourth quarter.
Michael A. Jackson: If you’d turn to Slide Nine.  I think many of you know that in October we announced the closure of three paper machines.  These closures were an important step for our overall business strategy.  At our Sartell Mill, we eliminated two super supercalendered machines that combined produced 103,000 tons.  Both machines were quite small and not competitive in today’s market.  This allows our resources to totally focus on the larger groundwood machine at Sartell to drive overall machine efficiency and R-GAP performance. We also have eliminated 90,000 tons of groundwood capacity at our Bucksport Mill.  This closure was due to an escalating input cost as well as our effort to match our supply output with anticipated demand.  Overall, our pre-tax charge will be $22 million to be taken primarily in the fourth quarter.  $15 million of that will be cash and $7 million will be non-cash.  We do expect that Verso’s ongoing annual EBITDA will slightly improve as a result of these decisions. Turning to Slide 10; we expect fourth quarter demand to be slightly weaker than our normal seasonal swing given the current economic conditions.  After a reasonable first half of the year, results for magazine ad pages and catalogs, we saw a dip in the third quarter that will carry over into the fourth quarter.  We will closely, as I mentioned before, monitor our inventory levels and adjust as appropriate.  We believe that our prices will be flat to slightly down.  I think you know historically that prices in that November/December timeframe have faced significant pressures.  But we don’t anticipate that to happen this year. We expect our manufacturing operations to continue the operational improvement trend that will have favorable impacts on both our material usage and our cost variances that will certainly contribute to our R-GAP goal.  On the input cost side, we would expect to see lower increases for the fourth quarter as compared to the past three quarterly increases as some chemicals are beginning to soften a bit.  We’re looking forward to starting up our 28 megawatt project at Quinnesec during this quarter which, as we move into 2011, will have a positive $11 million impact of annual savings.  We’re on budget and we’re on time on that project. We also expect to complete the refinancing of our revolver which has an August 2012 maturity date, by the end of the fourth quarter.  As we prepare for 2012, we believe we position ourselves based on recent decisions and a favorable imbalance supply and demand profile.  As you look at the economy and the projects for 2012 there are forecasts that are suggesting a better GDP growth for 2012 and based on projected demand and closures both in North America and in Europe, we believe operating rates for coated freesheet will be in the 90 plus category and coated groundwood at 92 to 95% operating rate for 2012.  Announced closures in North America and in Europe for SC production should help those groundwood rates as we expect some migration to lighter weight groundwood as an alternative to SC. With that, we’d be happy to take questions.
Operator: (Operator Instructions)  Your first question comes from Joe Stivaletti – Goldman Sachs.
Joe Stivaletti: I was just wanting to ask a little bit more in terms of your expectations of volume perspective in the fourth quarter, do you still expect that we would see some improvement year-over-year or declines year-over-year there?  I know seasonally you said it might be a little bit more than usual.
Michael A. Jackson: I think it will be fairly comparable.  Right now it looks to be very, very similar to last year.
Joe Stivaletti: The other thing was we’ve seen reports in the periodicals that are a little bit over the map in terms of prices.  There have been some reports of some significant spot price discounting in coated but I just want to clarify a little bit, you seem to feel, if I understood right, that you think you’ll see reasonable stability in the fourth quarter.  Would you say that that’s some of that that’s being written about, the spot price discounting is possibly a little bit maybe overblown?
Michael A. Jackson: I think what I said was it would be flat to slightly down on certainly the impact of the spot price will be there but compared to past November/December timeframes we’re not looking at a significant change at all.  I think spot is what you call it.  It’s a couple of spot orders and folks seem to kind of focus on that versus what’s really happening as a trend as it relates to prices.  So yes, I kind of stand by our comment that we think we’ll be flat to maybe slightly down but certainly no impact based on what you’ve seen in the sport market.
Operator: Your next question comes from Bruce Klein – Credit Suisse.
Bruce Klein: Just maybe more color on the inventory at the printers and distributors, sort of what you’re hearing or seeing.  And, you mentioned your inventories were kept in check, does that mean you’re kind of pleased with where they’re at?  Then secondly, just on the pro forma profitability program, I think the June quarter – I think the effect was 40 in the LTM and I think this quarter was 32 so that implies $8 million was realized.  Can you just touch on that and where that came from and maybe the remaining 32 what the biggest pieces are?
Michael A. Jackson: Let me take the first part of your question and then I’ll hand it to Bob.  I’d say that both coated groundwood and coated freesheet end of September I think coated groundwood, and I’m talking about the entire supply chain, was better by about eight days, eight or nine days from August numbers.  Coated freesheet was better by exactly eight days.  Again, that’s a supply chain comment.  They were both however, up from September of last year but not much, by about the same amount of days they were up over August of this year so I would say inventories are relatively in good shape comparably speaking. The thing we have to keep our eyes on and I mentioned it in my comments is the coated groundwood side.  I think freesheet is fine, but I think the coated groundwood because of a little bit of kind of the turndown in the catalog business, clearly they kind of pruned back for the third quarter, that’s the one we’ve got to keep our eyes on and certainly part of that was certainly the move we made on one of the machines we hadn’t budgeted for.  That’s kind of the inventory story.
Robert P. Mundy: Bruce, on the cost savings, going forward there’s three buckets, two of them are relative to the [inaudible] wood energy products, one at Quinnesec where that will start up here in the next few weeks and [inaudible] for some time around this time next year, maybe a little earlier this time next year.  But the bulk of the rest of those savings will be in our R-GAP program and a lot of it is around material usage, and again, still some energy type initiatives smaller than those two large projects but energy, material usage, and some indirect cost savings or fixed cost savings that we had planned.
Operator: Your next question comes from Tarek Hamid – JP Morgan.
Tarek Hamid: Can you talk a little bit about Europe?  In particularly, are you seeing any competition pick up from Europe with the Euro down or do you think the shutdowns will sort of take care of that?
Michael A. Jackson: We have not seen that increase.  In fact, I think as of probably Friday afternoon, we continue to see freight increases from Europe as well.  So between where the Euro is today, dealing with their own supply/demand issue in Europe, and the slight increase in freight that we’ve seen, I think we’re going to see the import levels remain at about the level they’ve been at the last probably year.
Tarek Hamid: Then I guess just on the refinancing side, by our numbers you have $300 million of first lien capacity and something north of $400 million in second lien capacity.  I guess one, is that correct and two, could you just talk broader about the revolver refinancing and refinancing going forward?
Robert P. Mundy: The revolver, as Mike indicated, we expect to – we’re in the throes of that right now and we expect to have that wrapped up here by the end of the quarter.  Can’t say a whole lot about it right now as we’re still trying to work out some of the details but we’re fully engaged, and we have a lot of interest in what we’re trying to do and we’ll feel really good about where we end up when that process is completed.  As far as the capacity numbers, those seem to be around the right ballpark.
Tarek Hamid: Just one last one for me, on the restricted cash release of $20 million this quarter, can you just talk about how much is left to be released from the various programs and what the cadence of that should be?
Robert P. Mundy: Virtually all of that will be gone in the fourth quarter, except for maybe a few million dollars, a couple of million dollars.  It’s all related to the Quinnesec energy project and since we’ll be bringing that online this quarter, that money is really restricted to the use of paying for that project.
Operator: Your next question comes from James Daly – Deutsche Bank.
James Daly: Just real quick, a couple of clean up items.  What do you see as far as cash flow dynamics, like working capital dynamics of fourth quarter?  I know you mentioned like $15 million of restructuring cost spend in that quarter, but can you just give us a little help on what you think you’ll see from working capital?
Robert P. Mundy: Working capital will be hopefully a bit of a source here in fourth quarter.
Operator: Your next question comes from Richard Kus – Jefferies & Company.
Richard Kus: Can you talk a little bit, I know you already touched on it to a certain extent, about savings from the R-GAP program?  In the quarter, it looked like from the second quarter you saved $10 million you said at your bridge.  What are expectations going forward specifically for 4Q?
Michael A. Jackson: It will be a positive number. I don’t think it will be as large year-over-year or sequentially as it was this quarter, but it’s still a positive number in the quarter.  Then you know, as we get towards the end of the year, we’re going through our plans and initiatives for 2012 and we’ll have that firmed up here in the next several weeks and so we’ll start having a good idea of what we’ll layer on top of what you see out there now to focus on for 2012 as well.
Richard Kus: Were you guys active at all on spot markets this quarter?  And if so, how active compared to how you’ve been historically?
Michael A. Jackson: There’s always some spot market – spot market is a piece of what we do every day.  We have most of our volume, as we’ve talked many times before, is we have contracts for wholesales, and freesheet, and groundwood sales, but spot market is always a piece of what we do and I’d say it’s comparable to what we’ve done historically.
Operator: Your next question comes from Chip Dillon – Vertical Research Partners.
Chip Dillon: I was just wondering, as you look into 2012 and I know it’s early days, but could you talk a little bit about what your customers might be saying? I  know it can go both ways, there always seems to be new titles, at least in the magazine business that are being tried and then you’ve also got people converting some of their readers over to tabloids.  It seems this year to be more of a slight negative trend but how does it look for next year?  What are your customers saying at this point?
Michael A. Jackson: I guess maybe a couple of comments, first of all you’re right, the pace of new title launches really did begin to accelerate in the second half.  Now, these are lower frequency titles, specialized areas of focus, certainly not news related so to speak so that was a positive.  But, there’s no question on the magazine side that this digital progress continues to move forward.  It’s very incremental and I think one of the keys is in terms of the barriers, is this wide scale adoption that everybody has really been talking about, is the industry still lacks standards for digital magazine development and that’s a critical component of what maybe can happen next. Our large publishers, obviously, their major revenue generation comes from the print side and they continue to be pragmatic about what 2012 looks like and that balance between digital and print.  They’re cautiously, as you think about where the GDP is forecasted in 2012 which is in that 2.2 to 2.7 to 2.8 range, and I know that changes all the time, they’re cautiously optimistic compared to obviously this year which is probably going to end up at about 1.8 or 1.7. On the catalog side, it’s a mixed bag.  We have customers that did not have significant volume increases, in fact, they had some decreases this year and some of them basically telling us that they again, had kind of pruned back a little bit too far in the third quarter and with the postal increase being I say only 2.1% going into January, I think some of these catalogers will increase the circ that they had certainly thinking about the third and fourth quarter.  Again, it’s a mixed bag.  I do think that any industry number that you’ll look at does talk about demand being off maybe 2% to 3% and that’s really what we’re figuring going into the first of the year.
Chip Dillon: Just one more quick one, can you tell us – we’re reading headlines from time-to-time about the post office and I know that is an important, maybe not critical aspect of how you think about your business, but what do you see happening there?  I mean, we’re hearing different things about maybe they restructure and you may have a thought about this, I have no idea whether they are over pricing bulk shippers and under pricing the first class stamp or vice versa.  But any thoughts about that and what you think the industry is going to do to sort of protect itself?
Michael A. Jackson: Well, I think there are a couple of things I can comment on there.  One is there are two elements that are out there in terms of things that are in front of the legislature trying to deal with this post office situation.  I guess, let me just say this, 80% of the cost to run the post office is in the people side area.  The debate really is around the pension plan number one, and number two, Saturday deliver, and number three, the number of post offices they keep open in rural communities. Well, you can imagine this is a political debate depending on does it impact your area or not.  So right now you’ve got that debate going on and I think there will be a compromise.  And this is just by view, as it relates to longer term I think Saturday delivery will be an issue and I think there’s going to have to be some decisions made relative to the number of post offices that the post office keeps in business. I do not think, and by the way the other thing I didn’t mention is to make sure that any type of increase is tied to the CPI.  I think that’s the critical component and I think that will be kind of where we’re hoping it will go as we move forward. Senator Collins and a number of other senators just brought forth a new recommendation which really encompasses some of the things that I just talked about.  Again, when you think about 80% of the cost of running that post office is in people, you really have to think about what you’re going to do in that scenario.  That’s kind of where we are and I think you’ll see something here probably in three months in terms of the direction of the post office.
Operator: Your next question comes from Gary Madia – Gleecher & Company.
Gary Madia: Just a couple of follow up items, Bob I think you mentioned that you thought that there would be either an indirect impact – everybody knows there’s been a lot amount of SC capacity taken out of which you were a part of that.  Any thoughts – I know that you think indirectly it’s going to benefit you guys as maybe some other producers may shut off their coaters and may start to go into the SC market, is that a strategy that if the opportunity presents itself at Versa, is that a strategy that you would embrace as well?
Michael A. Jackson: Gary, all I can say is our reasons for shutting down the SC capacity were what we described when we made that announcement and it had to do more with the age, and the capabilities of those two machines there in Sartell and it just wasn’t – economically, it was just something that we had tried for a long time to make things work there and it just didn’t work.  That was really the sole reason for shutting that capacity.
Gary Madia: So as we think about potential ripple effect of that SC capacity, is it fair to say that we should be thinking about it I guess from Verso’s perspective, as an indirect benefit as other potential coated groundwood guys shut the coaters off.  Is that fair?
Michael A. Jackson: I don’t know Gary.  Again, the actions of others relative to what we did, I don’t have a clue.  I really can’t say and you can see the activity going on out there but that certainly was not part of our reasoning for making our decision.
Gary Madia: The closed paper machines, I know in the Q that you mentioned that the EBITDA impact, it sounds like it was negative, that those machines were running negative but it wasn’t material.  Is that fair?
Robert P. Mundy: Yes, as Mike said, we try to make a go of it with those machines and it just wasn’t economically a thing to continue to do. Once we shut those machines down and make some of the other improvements to our manufacturing operations, improvements that we had planned there, we expect going forward the EBITDA to be I think worse case a push and we actually think it should improve a bit.
Gary Madia: I know it’s a little early on the cap ex side but with some of the projects winding down, two questions on that.  Can you give us a general sense on how you’re thinking about 2012?  And then remind us again, what your maintenance portion of that typically is?
Michael A. Jackson: 2012, we still will be spending the bulk of bucks for renewable energy projects cap ex in 2012.  I would think we’re going to end this year somewhere in the lower 80s actually when it’s all said and done.  And I think next year wouldn’t be too much different, right around that same kind of number.  The maintenance portion, the minimum is sort of in that $40 to $50 million range.
Operator: Your next question comes from Bill Hoffman – RBC Capital Markets.
Bill Hoffman: Mike I wondered if you could just talk a little bit more about the spot sales that you guys are seeing out there and here in the fourth quarter whether it’s higher than normal, what percentage of the market it typically is around this time of year?
Michael A. Jackson: Bill, I can’t give you a percent but I can say it’s normal for this time of year.  Even last year, as we go back and look at it, and by the way, we track this obviously on a daily basis so we’ve got a pretty good pulse for what happened last year versus this year.  I would say it’s just about the same level as it was last year, no more no less.  I guess that would be my answer, it seems to be about the same and that includes not only the number of bids but also the dollar per ton amount involved and what the potential discount is.
Bill Hoffman: When you look into the first quarter, I mean obviously, the seasonally most challenging quarter, what are the discussions right now with customers about sort of pricing trends as you look into first quarter, first half of next year?
Michael A. Jackson: We’re right in the middle of negotiations right now Bill, so I think it would be improper for me to comment on that.  Although I will say what I said in my comments, and I think this is the key, is that based on what’s happened here in North America and in Europe relative to supply, and then figuring what we think the demand will be for 2012, those operating rates could be pretty decent.  At that key again, coated freesheet above 90%, coated groundwood actually better than coated freesheet in that 92% to 95%.  That’s the base from which we begin our negotiations in terms of thinking about 2012.
Bill Hoffman: Then also, within these contracts or negotiations, you usually talk about a band of volume expectations and I think the assumptions you indicated is that you think the economic growth is going to be up 2.2% so maybe that offsets some of the secular declines.  Are people kind of talking about, “Hey next year we think we’ll be in sort of the same zone, zip code of where we were this year?”  What is the general tone from both cataloger and magazine guys?
Michael A. Jackson: That sentiment kind of changes on a monthly basis.  One of the things that we almost have to get over is that – you know, you think about the first quarter this year I believe was .3 or .6 GDP, second quarter was 1.3% and actually the third quarter was 2.5%.  We say the economy has sputtered out as a whole but there are some decent things going on.  I think one of the things is the consumer hasn’t spent as much as they had in the past.  They’re trying to pay down debt.  That isn’t a bad sign and eventually I think that will turn.  I think people are kind of realistic as they go into 2012 and I think I’ll go back to the comment I made earlier that, and this is particularly a catalog statement, is we have a number of – I say a number, we have catalog companies that felt in the third quarter they probably pruned back a little bit more than they needed to.  And so, I’m hoping that there’s a little pent up demand as we go into 2012. I think I already addressed through Chip’s question what I thought was going to happen on the magazine side.  It’s a mixed bag but they still have some standards to deal with which is very complex.
Operator: Your next question comes from Jeff Harlib – Barclays Capital.
Jeff Harlib: When you talk about modestly below seasonal shipments for 4Q are you considering seasonal down about 5%, is that sort of it?
Michael A. Jackson: Yes.
Jeff Harlib: In terms of other downtime beyond the Bucksport and Sartell closures, any other planned downtime or downtime to reduce inventories planned at this point?
Robert P. Mundy: Going forward from here we’ll keep an eye on it.  As Mike said, it is really more on the groundwood side where we have to watch inventories but we’ll see.  Right now, if we need to do that we certainly are ready to make that happen. We certainly have discussed the possibility but looking out going forward from today, there’s nothing definitive about taking that sort of downtime.  But, we’ll see.
Jeff Harlib: On input costs what about sequentially from 3Q to 4Q, do you see it still slightly up or flat?
Michael A. Jackson: I don’t see it up.  Hopefully it’s flat to down.
Operator: Your next question comes from Michael Marshuk – UBS.
Michael Marshuk: Just a follow up on the question on planned cap ex spending for next year.  The low $80 million that you mentioned, is that inclusive of any government offset for the energy spending that you’re doing?
Michael A. Jackson: That is the sort of projects and initiatives that we have lined up for next year sort of at a gross level. We’ve talked before about our expectations relative to the Quinnesec and the Bucksport projects, and the timing of receiving those grants that we’ve applied for.  That certainly would fall out – both of those next year.  Especially Quinnesec would fall out in early 2012, Bucksport could actually fall out in 2013 based on the timing of receiving that benefit.
Michael Marshuk: I guess given your maintenance spending is $40 to $50 million but on top of that you’ve got some energy projects, in case the economy takes a turn for the worse, how much of that cap ex are you able to dial down next year?
Michael A. Jackson: We have to see what turning for the worse, what that really means and what we already have in the hopper.  But, we certainly have done it in the past and we’ll certainly – back in the dark days of ’09 we turned it down considerably and again, no one is expecting anything like that but we certainly have the capability to dial things back should the conditions warrant.  But right now we don’t see anything that dire.  But you know, we’ll be ready if necessary.
Michael Marshuk: Just looking back at Slide Eight, your wood and energy costs were down sequentially.  Is there any way for you to quantify or maybe give us a sort of percentage range how much of that?
Michael A. Jackson: It wasn’t significantly but it was down and I think we’d see something similar in the fourth quarter as well.
Michael Marshuk: So low single digits, is that the way to think about it?
Michael A. Jackson: Yes.
Operator: Your next question comes from Kevin Cohen – Imperial Capital.
Kevin Cohen: Just to clarify the nuances around coated prices in the fourth quarter being down flat to down slightly sequentially, is that just a function of timing by way of the company having mostly three months ahead contracts and we shouldn’t expect to see 1Q prices down?  Or, how should we think about that?
Michael A. Jackson: Well, certainly timing because of what we mentioned earlier, that November/December timeframe moving into the normally weak first quarter.  Unfortunately, it’s a phenomena that happens just about every year.  Now, what I’ve said was I felt that this year, the impact of that would be much less given the supply demand scenario that I talked about, much less than it had been not necessarily last year but historically much less.
Kevin Cohen: Then separate from that, do you think the industry in North America needs to consolidate materially ahead of potentially declining secular trends, that rate of deceleration if you will, accelerates or any worries around that front?
Michael A. Jackson: I think that we’ve been pretty consistent in what we’ve said on that is that we do believe that that’s the right track to take and how it all plays out we’re just going to have to wait and see.
Operator: (Operator Instructions)  Your next question comes from Eric B. Anderson – Hartford Financial.
Eric B. Anderson: I apologize if this question has been asked because I was briefly off the call, but can you walk us through in terms of the future sales of green energy as opposed to offsetting your own power needs with some of the energy initiatives that you’re implementing right now?
Michael A. Jackson: I don’t know if we’ve ever gotten that detailed about it.  We’ll certainly be increasing our power sales and decreasing our consumption of power.  That’s about as far as we’ve gone I think with the color on that.
Eric B. Anderson: Well potentially, in a couple of years do you have the ability or plans that this could become a standalone business or is this really a way to avoid purchasing power?
Michael A. Jackson: That’s a good question and we have just shown you guys before, on these earnings calls, a slide that shows sort of our strategy, our energy strategy.  And if you look back at that you’ll see we’re in the early stages of that strategy although we think we’ve done some big things, but we’re still in the early stages of that.  If we continue, you know again, to move forward on that strategy with some of the other things that we’d like to do, you could end up in that situation as far as a very strong power sales type of flavor to our income statement.  But we’re certainly not there yet but it is something that one day we could get there.
Operator: We have no further questions in queue.
Michael A. Jackson: Thank you very much for joining us and we’ll talk to you after the fourth quarter.  Have a great day.
Operator: Once again, this does conclude today’s conference.  We do thank you all for joining us.